Operator: Good day, ladies and gentlemen, and welcome to the Saga Communications Fourth Quarter and Year-end Earnings Conference Call. [Operator Instructions]. It is now my pleasure to turn the floor over to your host, Ed Christian. Sir, the floor is yours.
Edward Christian: Catherine, thank you very much. Welcome, everybody, to another one [indiscernible] entertaining shows. I will tell you that Sam Bush will be joining momentarily with us, he is here right now. But I also want you to know that Sam's elaborate numbers, which will occupy several minutes are the only scripted thing that we have today. The rest will be, I'm hope interesting, shall we say.  And with that now Sam will be interesting, too. I don't want to say that what he has is not interesting. Let's get pass that because he's giving me this evil look right now. So I'm just going to turn it around over to him and be quiet for a while.
Samuel Bush: Thank you, Ed. This call will contain forward-looking statements about our future performance and results of operations that involve risks and uncertainties that are described in the Risk Factors section of our most recent Form 10-K. This call will also contain a discussion of certain non-GAAP financial measures. Reconciliation for all the non-GAAP financial measures to the most directly comparable GAAP measure are attached in the selected financial data tables.  For the year ended December 31, 2021, net revenue increased 13.1% to $108.3 million. Gross political revenue for the full year in 2021 was $1.8 million compared to $6.9 million for the same period in 2020. When political is excluded, gross revenue increased 18.4% year-over-year.  Station operating expense only increased 2% to $83.2 million for the 12-month period, while operating income was $15.1 million compared to $3.9 million when impairment charges are excluded for the year ended December 31, 2020. We had no impairment charges in 2021.  Free cash flow was $13.8 million for the year compared to $7.6 million for the same period in 2020. Net income for the 12 months ended December 31, 2021, was $11.2 million or $1.85 per fully diluted share. Net revenue for the fourth quarter of 2021 increased 1.4% over the fourth quarter of 2020 to $29.2 million. Gross political revenue for the quarter was $886,000 in 2021 compared to $3.8 million for the same period in 2020. Without political, gross revenue increased 10.6% for the fourth quarter, while station operating expenses were up only 2.3% for the quarter to $21.6 million.  Operating income was $4.9 million. Free cash flow was $3.9 million for the quarter. Net income was $3.7 million or $0.60 per fully diluted share for the fourth quarter. First quarter of 2022 is currently pacing ahead of the same period last year by a little over 11%. Although with the recent global turmoil, we have seen a bit of a softer market developed in March and going forward.  Our strength continues to be local direct revenue. Local direct in the fourth quarter of 2021 was approximately flat with 2019 and 14.3% ahead of the same period in 2020. For the year, local direct was below 2019 by only 3.8% and ahead of the full year 2020 by 19.8%. Local direct represents approximately 50% of our total net revenue for 2021. And I think Ed and Chris are going to talk a little bit more about this in a little bit. This is up from 46% and 47% in 2019 and 2020, respectively.  Our balance sheet shows $54.8 million in cash on hand as of December 31, 2021. Currently, we have $56.2 million of cash on hand. I also want to remind everyone that Saga reinstated its quarterly dividend in 2021 with a $0.16 per share quarterly dividend paid on July 16, followed with another $0.16 per share quarterly dividend paid on October 22 and a combined $0.16 per share quarterly and $0.50 per share special dividend that was paid on January 14.  Saga's Board of Directors declared a further dividend of $0.16 per share on March 1 to be paid on April 8 of this year. With the recently declared dividend, Saga will have paid over $78 million in dividends since the initial dividend was paid in 2012.  Capital expenditures in the fourth quarter of 2021 were $1.3 million compared to $434,000 for the quarter ended December 31, 2020, and $4 million for the 12-month period ended December 31, 2021, versus $2.3 million for the same period last year. The company expects to spend a bit more on capital items in 2022 as we reduced our capital spending in 2020 and 2021 due to the uncertainty associated with the COVID-19 pandemic and resulting supply chain disruption.  Currently, we expect to spend approximately $5.5 million to $6 million for capital expenditures during 2022. This does include a couple of building projects, which we will discuss further as the year develops and as they come to fruition. Ed, with that, I'll turn it back over to you.
Edward Christian: Actually, I think we finally finished one of our building projects with brand-new studio building in Ocala, Florida, which we should have an opening party in, I think, several weeks on it. It's getting wrapped up as it is now, and the engineers are working on rewiring it. So that's one of the capital projects that is done well.  When I started this, and I said everything was kind of scripted, I didn't really mean that in a derogatory manner towards anybody else, but I do have a -- I do note kind of a similarity in the other presentations. Well, a lot of the conversation really goes towards a discussion overall kind of like what Sam did, but there's more to it than that.  And I kind of like to share with you a little bit behind what goes on and we'll call this for instance today, a peek inside the kitchen of the restaurant and see where we go in that. And I think a lot of things happen when we're talking about the business and to everybody outside is that we're really talking about the front room, which is usually a nice restaurant, very well decorated and everything else like that. And practically, you put together and you look at it and say, "Gee, this is a nice place to come." But you never really say, "Can I go visit the kitchen to find out exactly how they serve the meals."  So let's take a second and go behind the scenes or actually maybe a minute or so or whatever. And I want to talk about what happens in the kitchen and let me talk about and bulk -- the revenue that radio stations generate, let's call that part of the kitchen. And how it's put together and what it is so that you have a better understanding when you hear the numbers of millions of dollars or whatever we have in there, how -- where it comes from? How it's prepared and what it is. And really -- and we're going to get into a little bit with Chris on this.  When you're hearing the numbers that Sam just raised and where we are and what we're doing on that. They're broken into a number of different parts, national and regional dollars, and we'll talk about that, local agency and the local direct and then digital and [indiscernible] a few other things like that.  And National, things have changed tremendously because I remember for decades ago when I first started in sales, I had a wonderful [indiscernible] in Detroit at WCAR Radio on the agencies [indiscernible]. And with that said, in a learning experience, I actually happened to be my first job in sales was way back when. And the owner of the station was a guy by name of -- guy -- a gentleman by the name of [indiscernible]. And it was somewhat unusual because it was 50,000-watt radio station in Detroit that was owned by a single proprietor.  And one day I went up to him and asked Mr. [indiscernible] I'm trying to learn as a young salesman here and your things. Can you tell me how radio stations price their advertising? And he paused and he said, "Well, Ed, I'm going to tell you a secret." Nobody knows how pricing exists. Nobody can sit down and tell you how a rate is established. He said, what you should know is that you keep raising the rates until people stop paying and then you know you're charging too much. And that was really something that stuck with me for all these years that when we sit down and look at rates around the country, there is no essentially a logical reason as to what is priced in one market versus a similar size in another market. So we can't use any parallels there.  And then I remember it was something that was told to me by the name of Tony Hirsch, and Tony was actually somebody who lived across the [indiscernible] College of Michigan State, later became President of Radio Advertising Representative, which was a firm back then. And Tony was pitching me at station in Detroit. And I said, Tony, "how do you plan on pricing the rates for WNIC in Detroit that I was [indiscernible] at that time." And he said, "Eddie, look, the way we do it at the [indiscernible] rate. And I won't go into anything here other than saying it.  Tony said, you start at $100, let's say, and the buyer will say to you, "[indiscernible] I'm not paying that." And then you go, okay, how about $90. "I'm not paying that". Okay. All right, $80. " [indiscernible] Okay, fine." How about $75? And the buyer says, "well, that's your stop [indiscernible] rate." And he was very serious about that at that time to show you that there really is [indiscernible]. This is part of National, which is different than where we concentrate. And we'll go into that in a second with other things. But that really is the important thing that you look at on this and pricing on National. It changes because there is no -- nothing there that really happens.  And in National, unlike other parts of our business, local direct, where Sam mentioned, you don't find necessarily the negotiations that go on in other areas. And in the kitchen, for instance, let's say that you go into a restaurant and the hamburger is now $15, and you know that you just came from another restaurant where it was $13, and you don't say to the waiter, yes, "I want the hamburger, but I'm only going to pay $13 for the hamburger because that's what it sells for down the street." And you [indiscernible] the same type of restaurant. And the same is also true, you don't say, well, you're ordering a hamburger. Well, I want free fries with that hamburger. They're going to kind of look at you strangely on that. And that's part of the thing that happens in national advertising.  That's why I want to take a moment here and really kind of Chris involved in a second and show you -- or just always tell you how we view entirely differently in terms of trying to run our company and concentrate on where we believe the future of radio. Future of radio sales really involves in our local communities [indiscernible] why they're so important to us.  And Chris, you can just kind of bring us up the speed a little bit on some things that you have observed. By the way, Chris Forgy has been with us for many years, who is our former General Manager in Columbus. He's here now as the Senior Vice President in charge of operations and is very heavily in sales.  Chris, if you could just [indiscernible].
Christopher Forgy: Thank you, Ed. As you remember, Ed, the conversation we just had with someone we know and trust quite well, who will remain nameless, who is very knowledgeable in all things National said to us, as you recall, just the other day that over the last few weeks, National business has gone crickets, silence.  And as you remember, our response to one another was, okay, well, you know what, we can't control that. So let's move on. We can't forecast it; we can't control it. So to your point, the things that we do focus on and kind of look at it this way, we control the things we can and then we don't worry about the rest, things like.  And I should say, because of the way Ed has built the company over time strategically brick-by-brick, Saga Communications is set up beautifully to do things like have 50% of our net revenue be made up of local direct business. Because in the markets that we're involved in, we are connected in the community, and we can impact the community and we can impact the market or mark to market.  And so the things that we focus on are the things we control, like NTR, Ed mentioned events. We have created a number of events in all of our markets. COVID-19 put a little bit of a hold on some of those things. Those things are coming back and coming back strong. And so we anticipate a nice lift in 2022 with those events.  The other one is digital, and we have seen an exponential growth as much as 65% per month all in when you're looking at streaming and targeted display. And the stuff that we love to sell when it comes to targeted display -- or excuse me, on digital are the things that products that we own, our native products, our expandable banners and streaming, for example. But even with our targeted display, those are $0.60. And like I said, we're growing at a pretty significant rate every single month in that category. And the big one, as Sam mentioned in the onset, was our local direct.  As Ed said, we want to watch a little bit behind the curtain or the door in the kitchen because you don't ever really get to go in there and see how the food is made and why it's made that way. But in Q4 of 2021, we did $5.7 million and more in local direct revenue than we did in local agency revenue, that's $5.7 million more than we did in local agency. We averaged about almost $2 million and more a month in local direct business than we did in local agency. And for the year, that number rose to $21 million more in local direct revenue than we did in local agency. And again, averaging in that $1.8 million to $2 million a month more in local direct business than local agency.  So the question might be, okay, so how do you do that? Well, we have a thing called the entree to the meals, keeping with the theme with being in the kitchen. It's called ideas and new emerging revenue categories. Typically, you'd say, what are your biggest revenue categories? So all they're Automotive, for sure. Number one, well, Automotive is not and has not been our #1 category for quite some time. In fact, our #1 category is Home Improvement.  You've heard Ed talk about the emerging categories we've introduced over time if you've been on these calls, things like windows, garage doors, siding, electrical, plumbing, HVAC, I don't think any of us have ever had a plumber ask us for added value or free spots or give me a promotion with that. Those are categories that we can impact, and we can control. That's our #1 category right now is Home Improvement. Number two is followed by Professional Services.  Another emerging category that we've got involved in and have wonderful success in many of our markets, things like attorneys, tax preparation, financial planners. And believe it or not, our friends in the Automotive category came in a distant third in terms of our top 3 categories.  And when I said, we introduced this with ideas, those are called spec spots in our business. And what they are, are commercials that have the clients [indiscernible] them. And we come up with an idea, we do some research, make some assumptions, do a CNA, talk to the client, find out where their pain is and deliver a commercial who doesn't like to hear their name in the commercial. Very seldom do roofers and contractors get to hear that. That's part of the show biz in -- the show and show business.  And so how do we do that? We do that with ideas. And I've shared this with you on a previous call for those who have been on. In 2021, we did 23,000 -- over 23,000 spec spots in the year of 2021. Q4 only did 5,600 of them. So that averages about 16 to 17 spec spots per market per week. So this isn't an event that happens, hey, let's do some spec spots this week or this month. This is a behavior, a continual behavior that goes on all the time every day. It's a nonnegotiable for us.  And the neat thing about that when we sell with ideas and spec spots and audio, our closing ratios go well above 35% closing ratio on business that we closed that has used spec spot selling. And I hope I wasn't too verbose on that, but I think that gives -- helps give everyone a sense of what you were talking about, and let's go to the kitchen.
Edward Christian: Thank you, Chris. I think that was very good. I'm not saying I'm speechless [indiscernible] very unusual for me. But I do want to just wrap that up with one thing more on the National business and how that's changed and why we don't participate in it because back in the early days, National was [indiscernible] because of the agencies and the discipline and everything that they did to dig into the radio station as to what it was and who it was and what it meant for the agencies? And how many of the time buyers back then knew the names as the morning shows and what they were in the community. And that's not there anymore.  And we still have problems with how radio was sold as a whole. And I just -- without getting into a lot of other details, I tell you that this -- again, where we concentrate on the local business is so very important to us as a company. The way that we go after it, as Chris explained to you, is kind of the secret sauce that we're showing you what we're doing in these areas. At the same time, what we're doing in terms of our communities is important.  One of the initiatives that we're doing right now, which we're starting is basically a cattle call for audio journalists because we've decided that we are ramping up in good numbers, hiring for each of our markets. We want more newspeople to come to work for us to help us gather and continue gathering and expanding in the communities.  If you look right now at what's going on with newspapers, where they're closing around the country where the readership is going down, down, down. As they do close as they do go away or decide to go strictly to putting their newspapers online, we have the opportunity to really do better in the communities by establishing our own online, which we have done in a couple of markets and down in Tennessee, for instance, [indiscernible]. We have a [indiscernible] now, which I forgot the exact numbers of people to go to the website and look at our paper because the other one is not an existent essentially new community. These are the things that we're doing that are so important to us as radio broadcast. And we also feel that that's a future of radio, as I said in the beginning of where we're trying to go, how we're making this happen and how we can have the passion for the community, how the community has a passion for us as part of what we're doing.  And I wanted to take today very much to explain to you a little bit about how pricing, how we view it differently. So did you have an idea on what really is the core upside of where our beliefs are and where we're continuing to go. And that's important. There has to be this passion. There has to be this feeling. We're adding salespeople as we speak right now. We're adding newspeople as we speak right now, looking for them, finding them. Whereas other broadcasters are reducing the number of salespeople and trying to change into a bulk sales industry rather than a reliance item local.  That's kind of what I had to say. I'm really proud of what we're doing. I'm proud of our people. I'm proud of where we're going. And I'm proud of what we're trying to do without looking at just product categories about how we're seeking out individual new type of businesses.  I think I said on the call last year somewhere [indiscernible] in Ocala as a matter of fact, [indiscernible] country or country station and in Ocala, an account, which is -- that has [indiscernible] What is it? Unidentified Company Representative Sure. 
Edward Christian: [indiscernible] business that has people come over and in competition to [indiscernible]. Well, I mean, nobody talked about that before until somebody came up with the idea of saying it and done it [indiscernible] create commercials for it, and then present them to the client and go from there. That's how it is. And this is just part of where it is and there's so much more.  And believe me, we love to talk about it. We have no barriers towards communication with us. We're there. We love to talk about this. We'd love to try and inform our investors so that they really have an understanding of what Saga is all about rather than just reading some information and numbers to you. We want you to see behind the scenes, behind the kitchen door as to how we prepare and how we do it and what makes us as successful as we have become because we care.  I think I've done enough speech on that [indiscernible] Sam.
Samuel Bush: I think that's very good.
Edward Christian: Okay. I'm not going to carried away or anything like that.  And I tried not to get to my usual fan speaking and a lot of the other stuff because I think it's important, especially here where we can't plan on national dollars where we have to have the bedrock of our business that we control, and that's part of what we do.  Sam, is there anything else that I should really bring up here?
Samuel Bush: No, I think that's good. We did have one question come in. And it's understandable, and it was basically a question about the change in our tax rate between 2020 and 2021?
Edward Christian: Do we do that?
Unidentified Company Representative: Well, the change about that.
Samuel Bush: Unfortunately, we don't control that. So it is what it is. But 2020 was a very unique year due to the COVID impact on the financials. There were a number of reasons that 2020 tax rate was as different as it was, and I'm not going to try to go into all the technical gory details. But as our business begin to reflect a more normal operating environment in 2021, our tax rate returned to a more normalized rate of 28%. And going forward, we do anticipate our tax rate to be between 27% and 29% with a deferred rate of 3% to 5%. And I think that as best we can on a simple basis provides the answer to the question.
Edward Christian: Okay. I forgot to mention something, and this will be my thing for it. Our industry has a propensity for kind of trying to reduce rates and go heading towards the bottom. But as of last week -- or actually this after a number of workups over the last months trying on this and in collaboration with 3 of our managers, one representing a smaller market, one a medium-sized, one a large-size, working with them and developing a plan, which I'm not going to spend a lot of time now.  But basically, we have just raised rates across the company. We find it during a time when there was inflation of now, I think it's 6.7% or somewhere near -- or is it 7.6%, somewhere. I think it's 7.6% for new number related that we have [indiscernible] is a time for us that we couldn't raise rates something that is somewhat unique in the broadcast industry. But we have done so we have had set a floor for each of our markets as to what the rates are and design a plan again, has taken us about 6 weeks to put together on how this is effective in each one of the markets. It is mandatory. It is a floor. It's -- Chris has created [indiscernible] and with Sam involved in the project also created a way to make this so that we know that we can have a benchmark towards pushing forward to where we want to go over the next several years and it is upwards in terms of the value that we provide, and it is upwards in terms of the pricing for it.  So I did want to put that in there and mention it's a solid thing. We'll be glad to spend any time talking to any of you about exactly how it's structured. We can get into that at that time. That's where I kind of end up on this, Sam, and if you can think of anything else?
Samuel Bush: No, I think we can turn it back over to Catherine to wrap up the call.
Operator:
Unidentified Company Representative: Thank you, Catherine.